Operator: Good day, and welcome to the AMC Entertainment's First Quarter 2022 Earnings Webcast. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to John Merriwether, Vice President of Capital Markets and Investor Relations. Please go ahead.
John Merriwether: Thank you, Cerra. Good afternoon. I'd like to welcome everyone to AMC's first quarter 2022 earnings webcast. With me this afternoon is Adam Aron, our Chairman and CEO; and Sean Goodman, our Chief Financial Officer. Before I turn the webcast over to Adam, let me remind everyone that some of the comments made by management during this webcast may contain forward-looking statements that are based on management's current expectations. Numerous risks, and uncertainties and other factors may cause actual results to differ materially from those that might be expressed today. Many of these risks and uncertainties are discussed in our most recent public filings, including our most recently filed 10-K and 10-Q. Several of the factors that will determine the company's future results are beyond the ability of the company to control or predict. In light of the uncertainties inherent in any forward-looking statements, listeners are cautioned to not place undue reliance on these statements. The company undertakes no obligation to revise or update any forward-looking statements, whether as a result of new information or future events. On this webcast, we may reference non-GAAP financial measures such as adjusted EBITDA, operating free cash flow, operating cash burn, operating cash generated among others. For a full reconciliation of our non-GAAP measures to GAAP results, please see our earnings release posted in the Investor Relations section of our website. After our prepared remarks, there will be a Q&A Session. This afternoon's webcast is being recorded, and a replay will be available in the Investor Relations section of our website at amctheatres.com later today. With that, I'll turn the call over to Adam.
Adam Aron: Thank you, John. Good afternoon, everyone and thank you for joining us today. Following on the heels of our progress throughout 2021, AMC's first quarter of 2022 marked yet another milestone. Thanks in part to Sony's UNCHARTED and Warner Brothers, The Batman, it was our best first quarter in 2 years. And we exceeded market expectations with a more than fivefold or $637 million improvement in revenue. And an almost 80% or $233 million improvement in adjusted EBITDA compared to the same quarter of a year ago. What a difference a year makes. We are especially encouraged that when they did come to our theaters, our guests have been spending like never before, with revenues per patron through the roof at AMC up 34% above pre-pandemic norms and meaningfully higher than was seen at our largest competitors. During our last earnings webcast, we noted the timing of when big movies would release this year, not because of streaming and not because of COVID fears among patrons, but rather solely because of what titles would open when. We told you in our last call that the first quarter of 2022 would be the softest quarter of this year, and that box office numbers would improve sequentially as the year progressed. This view remains exactly how we see this year unfolding, with an improving box office and improving financial performance at AMC each and every successive quarter. But the real news of the day is the $187.4 million domestic opening, and the $450 million global opening of Disney's Doctor Strange. This one was the biggest movie opening of 2022, and the second biggest opening of the pandemic era, second only to Spider Man: No Way Home. Let me say it again. To all those who doubted the consumer appeal of movie theaters. Doctor Strange, Doctor Strange, Doctor Strange, Doctor Strange. And not only is the movie clearly a big hit. I'm also absolutely pleased to report to you that AMC overperformed for this movie at opening weekend with a 26% domestic market share comes considerably higher than our historic 22% domestic market share norms. Given that AMC is the largest movie theater company in the world, we can say to our shareholders with some glee and delight that the resilience of movie theaters is right now on clear display and that the future of the cinema is bright. Indeed, we've already kicked off the second quarter with Sonic who raced his way to the highest domestic opening weekend of all time for a video game adaptation and has thus far generated nearly $350 million worldwide box office revenue. And as I said just a moment ago, this past weekend, Doctor Strange, Doctor Strange, Doctor Strange, Doctor Strange. But we believe this is just the tip of the iceberg for what's to come in this summer, and the balance of 2022. What an array of compelling and exciting film titles lies ahead for the rest of the year. We're just 2.5 weeks away from the premiere of my personal favorite, Paramount and Tom Cruise's long awaited and highly anticipated Top Gun: Maverick. I saw the movie in a private screening for exhibitors a few weeks ago. It is just stunning. In my view, it's a cinematic masterpiece, and oh my, are we going to sell tickets for Top Gun: Maverick at AMC. The second quarter also will include such crowd pleasers, as Universal's Jurassic World Dominion and for audiences young and old, Back from Infinity and Beyond, Pixar's Lightyear. Later in the year, in the second half, we have one amazing title after another, especially including Baz Luhrmann's brilliant biopic of Elvis, starring Tom Hanks as Colonel Parker. Along with Illumination's Minions: The Rise of Gru, Marvel's Thor: Love and Thunder, Jordan Peele's latest original edge of your seat horror flick, Nope. And Brad Pitt's action-packed thriller, Bullet Train. The movies keep coming in 2022. We'll finish the year with Warner Brothers, DC Comics based Black Adam starring Dwayne The Rock Johnson, and three more Disney films, which are sure to be monstrous hits, including the animated Strange World, and two highly anticipated Tentpole Disney sequels. Marvel's Black Panther: Wakanda Forever, and James Cameron's Avatar 2, the sequel to Avatar at the time of its original release, the highest worldwide grossing movie of all time. I've had the privilege of spending some time with the brilliant James Cameron and his producing partner John Landau, and I've seen actual footage from Avatar 2 which is just glorious. I can tell you with certainty that movie audiences are going to be mesmerized by their return to Pandora. As a result, the entire movie industry is going to end 2022 in grand style. It's just so very clear in our eyes. Just as Nicole Kidman proclaimed in our ever so successful television advertising, which has attained a cult like status movie goers are so eager to return to the magic offered at AMC theaters. They want dazzling images on a huge silver screen. They want to immerse themselves in stories that are perfect and powerful. They want to enjoy comfortable recliner seating, a bucket of buttered popcorn and a coke. They want more IMAX and Dolby cinema screens at AMC than are offered by any other movie exhibitor. And for just a few hours, they want to escape, they want to escape the news, the internet, war, politics, inflation, interest rate hikes, their phone, and the interruptions that inevitably come when at home. So there is no confusion. At AMC, we are very optimistic about the outlook for the 2022 box office that we believe to be close to double that of 2021 and 4x that of 2020. No one has a perfect crystal ball. But our hope and current expectations is that the fourth quarter of 2022 will finally reach or will get close to pre-pandemic levels of revenue.  Some on Wall Street and some in the press have been filling our heads for 2 years now about the rise of streaming and the corresponding end of theaters. This won't be the first time or the last time that conventional wisdom will be proven to be filled with so much folly and so very wrong. Movie theaters have been central to the cultural of fabric of America and the world for more than a century. And their promise and potential remains resilient and real. Many of us on this call can remember the revealing and clarifying language that came out of the 1992 presidential campaign when James Carville said it's the economy, stupid. Well, for the movie theater business, it's the movies, stupid. And oh, do we have hit movies now coming to an AMC theater near you. I'll be back in a few minutes to provide some strategic updates and take your questions. But now I'll turn the call over to our CFO, Sean Goodman. Sean.
Sean Goodman: Thank you, Adam, and thanks everyone for joining us this afternoon. During the first quarter, we welcomed 39 million guests to our theaters around the world. That's a very significant increase from the 7 million guests that we entertained in the same period last year. And our Q1 2021, sorry, Q1 2022 attendance generated revenue of $785.7 million. This is more than 5x the $148.3 million of revenue that we had in Q1 of 2021. In addition, our Q1 '22 adjusted EBITDA improved by $233 million to a loss of $61.7 million. And this compares to a loss of $294.7 million in Q1 of 2021. Clearly, we are making meaningful progress along our recovery path.  While Q1 revenue and attendance were well below pre-pandemic levels, this is precisely as we predicted in our most recent quarterly earnings call. Knowing that the timing of when the big movies would be released this year we said then that the industry box office would rise markedly in calendar year 2022 but that most of the strength would occur in the second half of 2022. In Q1, we saw that the box office momentum built as the quarter progressed. And Q2 has started off strong. Just as fast we can look at the robust Doctor Strange opening. Indeed, consumers are flocking to the theaters once again. We are very encouraged by the compelling upcoming film slate and are consistently very strong post-pandemic operating performance. That reflects our laser focused on both the guest experience and profit improvement initiatives to grow and enhance the business. First quarter consolidated revenue per patron or $0.20.11. 33.7% higher that pre-pandemic Q1 of 2019. Consolidate admissions revenue per patron was up 23.9% and consolidated food and beverage revenue per patron was up 40%, both of this compared to the first quarter of 2019. In our domestic business, admissions revenue per patron increased by 28.5% compared to pre-pandemic Q1 2019 and our international business achieved a 15% increase. The admissions revenue per patron growth was driven by increasingly choosing to upgrade to the very best possible site and sound experiences that could only be found at our premium large format offerings such as IMAX, Dolby Cinema and AMC Prime. PLF, or premium large format attendance, represented 16% of our domestic attendance in Q1 of 2022 compared to 13% in the first quarter of 2019. And in our international markets, Q1 2022 PLF tenants represented 9.5% of compared to 8.1% in the first quarter of 2019. In addition, we also benefited from an overall favorable Showtime mix, coupled with pricing adjustments, including blockbuster and opening weekend pricing. From a food and beverage perspective, we continue to enjoy exceptionally strong food and beverage revenue per patron as our guests enjoy the full outside-the-home entertainment experience that is offered at AMC. In our domestic markets, food and beverage spend per patron in the first quarter was $7.52. That is 43.7% higher than the average spend in pre-pandemic Q1 2019. And in the international business, food and beverage spend per patron was $4.40, and that is 35% higher than pre-pandemic Q1 of 2019. Our significant food and beverage outperformance continues to be primarily driven by an increase in the proportion of guests choosing to enjoy our industry-leading food and beverage offerings that are made easy and convenient to purchase through the AMC app. Consolidated other revenue per patron in Q1 2022 increased by 82.4% compared to the same period in 2019, with domestic other revenue per patron increasing 93.5% and international other revenue per patron increasing by 61.9%. These statistics reflect an increasingly higher percentage of guests that are choosing to reserve their seats and to order their food and beverage in advance using our industry-leading website and app, together with the benefit of diversification initiatives that we've deployed such as renting our theaters during off-peak times to businesses and government organizations for meetings or other events. In an ongoing effort to enhance efficiency, we continue to be extremely agile in adjusting payroll hours and flexing showtimes to reflect the market demand and to optimize our efficiency. For example, our Q1 domestic attendance of 25.8 million guests represented 46.9% of Q1 2019 attendance, but it also represented 71% of Q1 2019's attendance per showing. Moving to cash and liquidity. We ended the quarter with a liquidity of approximately $1.4 billion comprised of $1.165 billion of cash and cash equivalents and $211 million of undrawn credit facilities. As anticipated and as discussed during last quarter's webcast, cash burn this quarter was adversely impacted by normal seasonal Q1 working capital needs. Our working capital almost always comes under pressure during Q1 following a strong Q4 holiday box office, and this year was no exception. Operating cash burn representing cash burn before debt servicing costs and before deferred rent payback was $223.9 million and this compares to $321.6 million in Q1 of 2021. Looking ahead, we expect our cash burn to improve sequentially through the year, with Q2 being better than Q1, but still relatively weak. But with the second half of 2022 being substantially better than the first half with positive operating cash generation by the fourth quarter. Regarding capital allocation, we continue to pursue a balanced and very disciplined approach to capital allocation. Our priorities remain unchanged: One, ensuring that we have sufficient liquidity to manage through the recovery phase of our business; two, strengthen our balance sheet by reducing our debt and associated interest costs; three, invest in our business to enhance the guest experience; and four, opportunistically pursue value-enhancing initiatives, including those that lead to diversification of our business. So far this year, we have been very active in allocating capital to enhance shareholder value. As we previously reported, earlier this year, we completed a highly successful capital raising, issuing $950 million of 7.5% first lien notes. As a result of this transaction, we were able to repay high interest debt that was raised at the height of the pandemic, and thereby, reduce our annual interest expense. At the same time, we extended our debt maturities by between 3 and 4 years. During the first quarter of 2022, we also repaid approximately $45 million of deferred rent, reducing our deferred rent balance to approximately $272 million. We expect to further reduce this deferred rent balance during 2022 by another approximately $125 million. And we continue to work on other attractive opportunities to strengthen our balance sheet and enhance our financial flexibility. Actively managing our theater portfolio is ongoing at AMC as we add new high-performing locations and eliminate low performance, all with the goal of improving guest satisfaction and optimizing our overall profitability. During the quarter, we added 3 new theaters and we closed 12. This brings the total number of locations closed since the pandemic began to 95 and the total number of new locations opened to 33 for a net reduction of 62 locations through Q1 2022. In addition, in early April, we announced the acquisition of 7 formerly bow tie cinema locations in Connecticut, Upstate New York and Annapolis, Maryland. And last month, we announced a significant investment to dramatically upgrade the sight and sound experience at AMC through the installation of laser projection equipment at 3,500 auditoriums in the U.S. through 2026. This equipment has a value of approximately $0.25 billion, although our upfront capital investment is minimal based on our agreement with our partner, [indiscernible]. And this new projection equipment is also environmentally friendly and comes along with meaningful operating cost benefits. Net CapEx, including landlord contributions, in Q1 was $34.2 million. And for 2022, separate and apart from any M&A activity, we're expecting net CapEx to be in the range of $150 million to $200 million. Finally, in mid-March, we announced our investment in Hycroft Mining. As a result of this investment of $27.9 million, we recorded a mark-to-market gain of $63.9 million in the first quarter of 2022. This is based on the share price of Hycroft kraft on March 31. The third operating enhancements and efficiency optimization initiatives implemented over the last 2 years have positioned us very well, and we continue to focus on initiatives to grow our revenue, increase our efficiency, enhance the guest experience and diversify our business, all with the goal of growing shareholder value and ensuring our success in a post-COVID environment. And with that, I'll pass the call back over to Adam.
Adam Aron: Thank you, Sean. Before we open up this webcast to questions, I'd like to update you on some of our key strategic initiatives to enhance value for AMC and for our shareholders. Let's start with our strategy at AMC, which can best be described with three unmistakable words: recovery, agility, transformation. You'll hear this almost as a mantra a lot from us as we move forward. As for recovery, over the last 5 quarters, our financial performance has clearly indicated that AMC is on a glide path to recovery from the impact of COVID-19. For sure, in 2020, COVID took AMC to our knees. But like the plot in any great fight movie, in 2021, AMC got up off the canvas, dusted ourselves off, steadied ourselves and started to play on offense again. We get stronger and stronger as each day passes, and pretty soon, we will be back to normal, punching away as you would expect, I'm the #1 player in theatrical exhibition. We are not where we want to be or need to be yet, but we now see it in our future. 2021 was a better year than 2020. 2022 will be a better year than 2021. And we already believe that given the expected movie slate, 2023 will be a better year than 2022. Our focus remains sharp on guiding AMC to a successful and lasting recovery from the impacts of the pandemic. At the same time, as we are working to produce that recovery, we recognize that our industry is filled with change, so we must be agile and nimble in managing through that change. If 2020 and 2021 have demonstrated anything, it's that the management team at AMC is expert in navigating our way through uncharted waters. No matter what the world has thrown at us, we have risen to each and every challenge. Therefore, I have every confidence looking forward that AMC will continue to cope well as we Bob and weave and adjust our course as may be required. No matter what change may lay ahead, our agility is the bedrock of which our solid foundation is built and which in the end should see us through. Taken as a whole, AMC has demonstrated a remarkable ability and achieved a remarkable track record of navigating successfully through change. At the same time, armed as we have been by our shareholders, with more than $1 billion war chest, we also will be looking for a transformational and value-creating metamorphosis of what AMC is. It's not enough for us just to bring back the AMC of pre-pandemic 2019. Several of us on this call have noted that AMC shares have traded above historic fundamentals of that old AMC. But you underestimate us, and you underestimate us mightily if you do not think we are looking to change AMC, to make it a bolder and grander enterprise. You do not understand if you do not think we are seeking out new and exciting opportunity. Our high Hycroft Mining investment is a perfect example. Some were stunned by our announcement because it did not align with our preconceived notions about AMC or what they thought were our core competencies. But during the pandemic, AMC demonstrated a keen insight into how companies could rescue themselves from liquidity challenges. That is the expertise that we brought to Hycroft. And so far, so good. At a time when the NASDAQ is off 9% in overall value, our investment in Hycroft Mining has increased by more than 30% as of Friday's closing price. As I've said before, those who think of AMC just in terms of the company that existed pre-pandemic are looking through a rearview mirror to the past instead of looking through the front windshield towards the future. There is a myriad of opportunity out there as we build a new AMC and grow our way through value-creating initiatives. There will be more Hycroft's ahead, not gold or silver mining per se, although I must say that gold and silver mining was a fun way to start. But we will also be looking for more value-creating investments where AMC can continue to share our expertise and talents. For sure, though, we plan to be deliberative and disciplined in investing in opportunities to enhance our existing business or to diversify in the previously unexplored markets or into industries where we can use our bold thinking, penchant for innovation and capital raising experience to unlock value for AMC and for our shareholders. In addition to talking about our strategy, I also would like to share a quick update on a few previously announced initiatives. First, Popcorn. We continue on the path to enter the attractive multibillion-dollar retail popcorn industry expected for later this year. Move aside Orville Redenbacher, you have a new competitor. Right now, we're in the midst of focused research and product testing. Among other popcorn-related concepts, later this year, you'll be able to order and have delivered your home our AMC Feature Fare and classic menu items, including, of course, AMC perfectly popcorn, flat bread, pretzel bites and other snack items. This service will be piloted in key markets, such as Chicago this summer, with plans to launch system-wide in the United States in the fourth quarter of this year. We are also developing, as you know, a line of microwave and ready-to-eat popcorn products to be sold at grocery stores and other outlets so that customers can enjoy our unique and differentiated popcorn offering in the comfort of their homes. Again, hopefully launch to consumers before year-end. Second, a comment on a branded credit card. Discussions are now underway by AMC with potential banking partners about the launch of a co-branded credit card aimed at AMC shareholders and moviegoers. Within a year of today, we will aim to place a significant number of these cards into the market. Our hope, too, is that this can be a quite lucrative business opportunity for AMC. Third, on NFTs and cryptocurrency, we have 8 different NFT programs that either already have been launched or are in the works. They've already helped us to stimulate the sale of movie theater tickets for movies like Spiderman: No Way Home, Dune and The Batman or to increase the effectiveness of other AMC programs like AMC Investor Connect, which now has some 665,000 enrolled members. We will continue to explore how NFTs can drive increased profitability for AMC going forward. As for cryptocurrency, with great fanfare, we now expect a wide array -- we now accept a wide array of cryptocurrencies for online payments at AMC. The same IT programming that was required for us to accept cryptocurrency also enabled us to accept other payment types including Apple Pay, Google Pay, PayPal, Bit Pay and Venmo, among others. Taken together, these various new payment options impressively recently represented about 35% of our total online payments. Fourth, a comment on our pricing actions. AMC has taken in the past a number of big, smart and innovative steps on theater ticket and food and beverage pricing. Just look at our revenues per patron in Q1, which have been well in the March with obvious positive result. We have been guided in the past by a simple philosophy. We charge more when there was peak demand, and we charge less when demand was soft. So far, that rational view of the laws of supply and demand has worked well for AMC. And fifth, investments in our theatrical exhibition business. During 2021 and so far during 2022, we acquired one-third of the former Arclight Pacific theater circuit located in major metropolitan markets like Los Angeles, San Diego, Washington, D.C. and Chicago, and we acquired about 3/5 of Bow Tie cinemas locations, mostly in Connecticut, along with Upstate New York and Annapolis, Maryland. When we add AMC's expertise, unique guest offerings and industry-leading loyalty programs, these new theater locations begin to sore. As an example, our mid-2021 acquisitions of the Grove 14 and Americana Brand 18, both in the Los Angeles market, have consistently ranked among the 30 highest grossing movie theaters in the entire United States since joining the AMC family. And we are not done yet. We will continue to explore adding high-profile interesting, potentially profitable theaters to the AMC network. But we are not just acquiring new theaters. We are also investing in upgrading our fleet of theaters. AMC is committed to significantly grow the number of IMAX and Dolby Cinema locations in the months and years ahead. We are the leader in premium large format screens, and we intend to keep our advantage to position intact, secure and growing. In addition to PLFs, our first major broadscale projector upgrade since the transition to digital was announced 3 weeks ago by AMC as we introduced a new premium format, Laser at AMC, where we will begin deploying the latest laser projection technology in our theaters at some 3,500 auditoriums across the United States over the next several years. With this upgrade, AMC moviegoers can expect improved picture contrast, maximum picture brightness and more vivid color. In short, a much better viewing experience, they will get moviegoers off their couches at home and into our theaters. As I conclude, I'd like to make a special comment to our avid, enthusiastic and passionate retail investors who have embraced AMC with gusto over the past 1.5 years. As an example, there is one group of particularly committed AMC shareholders who sent me a binder, then followed up by an e-mail that were filled with about 1,000 different ideas for AMC. Looking more broadly, the ideas keep coming and keep flowing to AMC from our shareholder base. I think it is well known that I write my tweets myself, and I actively read my inbound Twitter feed. So literally, thousands and thousands of times, I have personally seen your observations and advice. I see your frustrations with your perceptions of how the market works or does not work. Your anxiety over the number of so-called delta delivery shares or your alarm over something that by its very name sounds ominous in dark trading pools. And I hear the advice coming in Twitter post after Twitter post that comes from our approximate 4 million retail investors, who own the vast, vast, vast majority of our 516.8 million issued shares. Your ire and anger directed at short sellers is evident. I hear your suggestions that we should call for more market regulation by government or that we should take more company action by issuing a cash, gift card or NFT dividend. And I hear how some of you actually want to donate money to help us build up our treasury and or pay down our debt. And that's just a few of the countless suggestions and pieces of advice I have received day in and day out. Not surprisingly, much of the advice that comes in conflicts with the advice that others of you share. And while most comes in constructively, some comes in with hostility or laced with threats. Most is well intended, but some might be hurled at us with an intent of actually harming me or the company, possibly even coming in from short sellers or others motivated by malevolent intentions. All I can say to all of this is this: I greatly appreciate that you care so deeply. Also, running a company with such broad interest as AMC is an art form, not a science. There is real wisdom required in knowing what to do and knowing what not to do, in knowing when to do it and in knowing when not to do it. Having said that, you should not interpret silence as inaction. We are constantly exploring the smartest courses of action, and I promise you that we will pounce, but only when the timing is right. Being human, we will not always thread the needle perfectly. But for certain, know this, we are doing our best. And even with my well disclosed and advanced stock sales, I still have an interest in 2.9 million AMC shares. That is 793,974 shares that I own outright and 2,010,076 granted but unvested AMC shares in addition. My every incentive is to think and to act like a shareholder to maximize the long-term value of AMC shareholders, because like you, that's what I am. I am an AMC shareholder above all else.  In summary, our first quarter of 2022 was encouraging. Our liquidity position remains strong. The film slate is compelling, and we're playing on the offensive as we grow and diversify our business. While we're still in a recovery phase, the outlook is positive indeed in our view. Oh, and one last thing, Doctor Strange, Doctor Strange, Doctor Strange, Doctor Strange. Go see it. AMC just put a very big weekend on the books, and we are highly optimistic that it's a harbinger of things to come. And if you want to know what's to come, Top Gun: Maverick, Memorial Day Weekend, then Jurassic World Dominion, and then more and more and more and more. 2022 have me filled with excitement. Sean, now let's turn to questions starting with questions from our shareholders.
Sean Goodman: Thanks, Adam. So we have a few questions to start relating to the upcoming shareholder meeting. Specifically, there's questions about people's voting materials, when they will be received, what is on the docket for voting at the shareholder meeting. And there's a question about will international shareholders be allowed to vote at this meeting.
Adam Aron: Thank you for the question. Our shareholder meeting is scheduled for June 16 at 2:00 p.m. Central Time. It will be held here in our offices in Leawood, Kansas, the suburb of Kansas City. You are all invited, those of you who are shareholders anyway. Those of you who are shareholders are invited to attend in person, if you wish. We filed all the proxy papers with the SEC on April 29. You can access those proxy papers if you haven't already seen them by going to the Investor Relations section of the amctheaters.com website. Look at the Financial Performance tab, it's all there. As for voting materials, you should usually allow about 2 weeks or so for brokerage firms to get the proxy materials to you as a shareholder at AMC. If you do not receive proxy materials by mid-May, you definitely should contact your broker or our proxy solicitor, DFK, who has a special toll-free number for AMC shareholders at 1-888-625-2588. That number again is 1-888-625-2588. There are three issues up for a vote at the annual meeting. One is the election of directors of some members of our Board who are up for reelection. Another is a nonbinding advisory vote on say-on-pay and the third is the ratification of our external auditors, Ernst & Young. As for our international shareholders, many of whom will be listening to this call today, we have a particular appreciation for those of you around the world who still follow AMC. This is a matter of some consternation for us. Whether you can vote at our shareholder meeting is entirely based on your brokerage firm. So I would encourage you to check with your broker internationally. Hopefully, you're with one of the brokerage firms who will allow you to vote your shares at our annual meeting. If not, change brokers.
Sean Goodman: Thanks, Adam. So the next question is about our entry into the retail popcorn business. The specific question is when is popcorn likely to be available in stores?
Adam Aron: As I said in my prepared remarks, our hope is that we can be there in the fourth quarter of this year, 2022. There's a lot of action behind the scenes, including discussions with various major retailers. And the one thing I know is that our microwave and ready popcorn is going to be a strong competitor. Our brand resonates with consumers. We are known for popcorn. I've had lots of ideas submitted by shareholders that we should include something called a golden ticket with our packaging. That's a great idea. And I'm sure that we will, sort of like Cracker Jack has a gift in every box, I wouldn't be surprised if we have some benefit relating to AMC Theatre moviegoing in every box of our perfectly popcorn. Let's hope we can get there in the last trimester of 2022.
Sean Goodman: One of the many questions that -- sorry, one of the many suggestions that we've had is relating to AMC merchandise. And there's a question of when can people expect to be able to purchase AMC merchandise.
Adam Aron: So the suggestion of AMC merchandise is also a good idea. And we've tested some either at our theaters or online. We've had -- you may recall, we had a Ghostbusters Ambulance that we sold out of. We had Batman popcorn holders that we sold out of. And what's very clear to us is the merchandise is going to work for us. We are in the process of figuring out now how to make AMC-branded merchandise and movie themes merchandise available to our guests, whether at theaters or online. Look for that to unveil to consumers sometime in the second half of 2022.
Sean Goodman: So people are asking what sort of marketing and initiatives are being done when we acquire new theater locations.
Adam Aron: Well, I will answer the question of what we are doing in a second, but let me start by saying, it sure is working. Look at what's going on at The Grove and The Americana brand out in L.A. These were good and strong theaters for Arclight. It's why we took them into our -- and Pacific. That's why we took them into our network. But their performances soared in our watch. There are like 5,000 movie theaters in the country, and these two have consistently been performing in the top 30 ever since we took them over. In terms of what we do, the first thing that we look at is how can we upgrade the product, bring AMC service levels and amenities into the theaters that we acquire. We will be doing the same thing at the Bow Tie theaters in Connecticut, Upstate New York and Annapolis that we did out West. In the case of some of our theaters, we're going to be installing IMAX locations or Dolby Cinema locations or both. Beyond improving the product, we are also bringing our loyalty programs to these theaters. AMC Stubs, our frequent moviegoing program; AMC Stubs A-List, our monthly subscription program. We are also then, as we convert customers from these theaters into our loyalty program, we’re then communicating with them frequently, certainly on a weekly basis to let them know what's coming at AMC. We are adding to all this local marketing through social media, including paid media, and as I said, it's all working really well so far. And I might add, we are not done. We are going to add more high-quality theaters to our network throughout 2022.
Adam Aron: Some questions about dividends. When will AMC pay a dividend?
Sean Goodman: Well, I have seen suggestion after suggestion that you'd like to see us pay a dividend. I think we've announced publicly previously that our current debt documents prevent us from paying a cash dividend prior to June of 2023. So this is not really a decision for today. This is a decision for a year down the road.
Sean Goodman: Another one of the many suggestions, will AMC make its own movies?
Adam Aron: This one is a particularly interesting topic. Several years ago, AMC owned 50% of Open Road Films, where we did make our own movies, and in fact, got the Oscar in 2016 for the Best Picture of the Year with Spotlight. And I have to say that there are a lot of conversations that are underway now with various movie makers about whether we should repeat our activity in prior years of making our own content. It is something that's on the list. We're thinking very hard about it. We've had very serious conversations with some very well-known movie studio executives, major movie directors and it is something that has our attention.
Sean Goodman: With our recent …
Adam Aron: Can I just add while we are on the subject? But even if we were to make our own movies, now is a good time to put in a good word to our long-standing studio partners. Hollywood is turning out great product again, and it's finally being released exclusively in theaters for exclusive theatrical window. And we are just -- I just want to say how grateful we are to the likes of, you name it, Disney, Universal, Warner Bros., Sony, Paramount, Lions Gate, all the makers of movies. And it does raise the question, can we convince some of the streamers to introduce their movies to some of their movies theatrically as well? We have had conversations over the years with Netflix, Amazon and Apple. We continue to make it very clear that we would be very pleased to show some of their bigger, better movies. But in doing so, we have to respect our long-standing industry partners, the major studios. We can't have one set of rules for the major studios and a separate set of rules for streamers. But if we can convince the streamers, that it's in their interest to show movies theatrically, that might be another -- yet another way of getting more movie product into our theaters.
Sean Goodman: So with our recent acceptance of cryptocurrencies and other forms of payment, people want to know, to what extent are these new forms of payment being accepted, including Dogecoin, Bitcoin, et cetera?
Adam Aron: So this was only put on our radar screen by our shareholders. And there was just enormous interest in it. And so we went down the path of doing the programming required to accept cryptocurrency. And what we found is that the same programming that was needed to accept cryptocurrency is the exact same programming that we needed to accept Apple Pay and Google Pay, PayPal and a whole bunch of other payment types. And it's been a massive home run for us. While crypto itself is modest in usage, when you take all of those new payment types that we introduced for AMC as a result of our exploring crypto, again, it's in the neighborhood of one-third of our total online ticketing is now being paid for in all these various alternate payment methods. So I would say this whole endeavor has been a massive success for us. And of course, the Holy Grail is do we actually ever consider launching a cryptocurrency of our own? We've said publicly that we're intrigued by that notion. We are studying that notion. The biggest issue that we want to make sure that we get exactly right is that we believe the regulatory environment around cryptocurrency will radically change during 2022 and in 2023. And we want to make sure that if we do embrace issuing cryptocurrency rather than just accepting cryptocurrency, that we anticipate the new regulatory climb as well, and we stay on the right side of the law.
Sean Goodman: People are interested in our plans with respect to NFTs. Up until now, we've been largely using them for promotional purposes. There's questions as to whether AMC would look to sell NFTs in the future?
Adam Aron: So that also is an interesting question. That also was put on the radar screen by our shareholder base. I said in my earlier remarks that we have 8 NFT programs either already been launched or in the works. And we, historically -- sorry, we only have 4 of these programs so far, but historically, we've been giving away these NFTs. We did an interesting poll on Twitter saying, "Should we continue to give them away free or should we sell them?" And the results of that poll, in very round numbers, are two-thirds or two-thirds said, "Keep giving it away free." But a healthy percentage said that we should sell some NFTs to generate some funds. So who knows exactly what we will do going forward? Maybe we will do a mixture of both. Some NFT programs we will give away free, and others we will sell. But we are exploring very carefully and thinking very hard about how to maximize the profitability possibilities that could accrue to AMC from our interest in NFTs. And I would say that with respect to our competition, we are way out in front of any other movie theater exhibitor anywhere on the planet. We've issued literally hundreds of thousands more NFTs than anyone else.
Sean Goodman: There's broad-ranging question here about how we keep AMC relevant with the strength of streaming.
Adam Aron: Well, look, I do think that's playing out before our very eyes. If you look at the pandemic, the period when movie theaters were shut, studios played around with every possible variation of theatrical release, including taking some movies to the home simultaneous with that release. In other cases, just taking movies to the home and not releasing them in theaters overall. I think we've convinced Hollywood that the way to optimize their profitability is for them to support their streaming services, but also to support theatrical exhibition. Theatrical window has returned. That's good for the future and relevance of movie theaters. Beyond that, though, if you really look at the darker times for revenue generation over the past 24 months, it's been because there just wasn't a lot of good movies coming out. It wasn't so much the quality of movies that was bad, it was the quantity of movies that was depressed. What's happened of late that started in the fourth quarter of 2021, finishing up with huge hit in Spiderman: No Way Home, third biggest movies all time. Then we saw Unchartered and The Batman in the first quarter. Now we are seeing Doctor Strange in the Multiverse of Madness, Top Gun: Maverick is around the corner, Jurassic World Dominion is around the corner, the summer is filled with movies, the fall, Christmas comes Avatar 2. I really do think that among the biggest things we can do to ensure our relevance is to make sure that we have a steady parade and allocate of major movie titles with broad consumer appeal that are being released by studios. Beyond that, then AMC, we, ourselves, we have a further obligation on top of just having good movies at our disposal. And we are absolutely committed to being innovators and theatrical exhibition, keeping the quality of our theaters high. As I said, we're investing sufficient funds to get $0.25 billion of laser projection equipment into our theaters coming down soon. We've got more IMAX locations coming, more Dolby Cinema locations coming. We are going to continue to make our food products more enticing at AMC as we look ahead. So take all that together, combine it with the fact that people go into movie theaters for a century, I'm just certain of 1 thing in life: The movie theater industry has an entry at AMC as a company. we will be relevant and we will take whatever actions we need to stay relevant as we look ahead.
Sean Goodman: And finally, a question about our partnership with Dreamscape and our plans with respect to that partnership. Will AMC consider more Dreamscape locations, for example.
Adam Aron: Well, for those of you who don't know what Dreamscape is, it's a really innovative virtual reality product. We opened up three Dreamscape locations, One in New Jersey, one in Ohio, one in Texas to test them. The product is spectacular. The economic returns are okay. They're not spectacular, but they're okay. We are told that there are changes in the technology coming with VR that will make it more affordable to introduce more Dreamscape locations. So with respect to Dreamscape specifically, we will see. But the fact that we are willing to embrace Dreamscape 3 or 4 years ago, I think is yet another signal of AMC's willingness to embrace alternate content. And this summer, we experimented with a variety of interesting concepts showing concert movies, some live, some on tape. We showed WWE and UFC events in our theaters. For 2 of the past 3 years, we showed NFL games on Sunday afternoons in our theaters. And I just have a strong view that if we can obtain the rights to show professional sporting events or collegiate sporting events in our theaters going forward, that would be very popular with our guests. So all of this is in the works. And the minute we strike a rights deal with a major league, we will put out a press release. With that, are there any other questions? Do we have time? It's already 59 minutes in. We kind of promised people an hour. So maybe, operator, we will take a question and then call it a day.
Operator: Thank you. It appears we have reached our time limit for the conference. This concludes our question-and-answer session. I would like to turn back to you for closing remarks.
Adam Aron: All right, Operator, I guess we are done. We tried. Closing remarks. Very simple folks, we had a good quarter. We are on the march forward, we are in the middle of a long road to recovery. But if you ever want to get enthusiastic about where we are on that road, just look at the $187.4 million, 26% of it was ours, from the Doctor Strange in the Multiverse of Madness this weekend, go see it at an AMC theater near you. And I am telling you, whatever you do in life, do not miss Top Gun: Maverick. It is one spectacular movie. Thank you, operator. Thank you, one and all, for listening.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.